Operator: Good morning. My name is Sherri, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Mandalay Resources Corporation Third Quarter 2017 Financial Results Conference Call. Joining us on the call is Mark Sander, President, Chief Executive Officer and Director of Mandalay Resources. This call is scheduled for 60 minutes. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions] This call contains forward-looking statements, which reflects the current expectations or beliefs of the Company based on information currently available to the Company. Forward-looking statements are subject to a number of risks and uncertainties that may cause the actual results of the Company to differ materially from those discussed in the forward-looking statements. Factors that could cause actual results or events to differ materially from current expectations are disclosed under the heading Risk Factors and elsewhere in the Company’s Annual Information Form dated March 31, 2017, available on SEDAR and the Company’s website. Thank you. Dr. Sander, you may begin your conference.
Mark Sander: Thank you very much and good morning, everyone. Thank you for joining our third quarter conference call, for describing and answering your questions about our financial and operating results. I have Greg DiTomaso here, who is our IR Director and I have Sanjay Swarup, our CFO, just in case your questions are about the detailed financials that he can provide more color on. As usual, I’m really going to gloss over the high level results. You can read those in the press release, the MD&A and financials, as well as I can. But I want to really focus on how I see the Company today and what’s working and what we need to watch. But, just in summary, our quarterly revenue of $35 million, EBITDA of close to $11 million and consolidated net loss after special items of about $7 million is actually just about where we expected to be, no surprises. Special items this month were about 5 million -- $5.8 million, covering the extraordinary costs at Cerro Bayo during the recovery from the flooding emergency. These revenue, EBITDA and profit results are pretty much on line with the good performance at Björkdal and the predictable performance and well-managed performance Costerfield. In particular, the rate of production and cash costs over the past two quarters at the Björkdal is really approaching sort of stage one turnaround targets that we had from the start. Our goal is still to drive that production rate higher and the cost lower. We have plans to do that. But, they’ve substantially caught up or they’ve completely caught up on their production and EBITDA targets for the year. And in fact, the 60,000 ounce rate for the last two quarters at $845 has compensated in part for the continuing suspension at Cerro Bayo. The Björkdal has characterized right now the workplace, for those of you -- some of you have visited, it’s characterized by a whole raft of new faces. We have a new GM in there for just about six months now I think. We have a new environmental person and a mill person, we have a new financial officer there and purchases agent and so on. The energy is palpable for me anyway when I visit. And this new management team is taking ownership of the future and I really look forward to where they take us. And I’m confident there will be some place good. Costerfield is turned a 12,500 gold equivalent ounce quarter at $736 an ounce. Given the ore grades that we’ve had and expected out of this phase of mining which was lower than in previous periods and the financial performance is excellent. The cash cost -- or the cost per ton mined and milled and G&A continued to be well-controlled and low, and the financial results are really quite predictable based on total ounces of gold equivalent production, which is in turn due entirely to the head grade coming out of the mill. And again, we have a great predictive model for that which works most of the time. You should be aware that at Björkdal, the Board has committed the capital for the development of the Brunswick lode, a great deal of the value there and the justification is based on the good cost control and roughly -- or significant chunk out of annual run rate costs that we believe they have figured out how to take. The Brunswick does contain grades on the low side but the returns of the project are still attractive, if we get a mine life extension. And we have early indications that we’ve been talking about for the past several quarters of higher grades in the next potential ore body to fall, if you look at our -- I think it’s our Q or our first half exploration update, to see those results, and we will resume drilling there as soon as we finish up the last few holes in definition drilling on Brunswick. Let’s turn to Cerro Bayo. As you all know, we had the tragic flooding events in June this year in which two miners were lost. We have ring fenced since then, the financial impacts ongoing that we think we will get. We are completing this quarter our root cause investigation with an independent third-party and the risk assessment for reopening mining, which will form the basis for our application to receive a permit to restart. We did receive a decree from Sernageomin that we cannot reopen without getting permission from them. And that process is -- will start as soon as we prepare the application, based on our risk assessment. I believe we will have a plan that shows safely resuming mining, but we have to submit that and get the regulator’s reaction before we could be definitive about the time of reopening. Meanwhile, to conserve cash, as we announced right at the end of the quarter, we have carried out a reduction in force from the novel 400 people onsite to about a 100; that results in a substantial reduction in monthly or quarterly run rate while we get our handle on this permission to restart. There are other permits needed for executing the complete life-of-mine, total of about 7 or 8, and those are in progress as well, and we track a progress on those weekly and make sure that we are participating in the regulatory process as fast as possible, and our responses are not to bottleneck. Meanwhile, we are drilling for the rest of the year on a couple of remaining very compelling targets that are not under the link, that if they pan out good, make us less dependent on those we [indiscernible]. We expect with the continuing good performance across at Costerfield and Cerro Bayo to end up right on our revised guidance for the end of the year. And I would point that we ended with a cash balance of $24 million, having drawn the first $15 million of the revolver that we signed with HSBC, during the quarter. I think that summarizes, at a high level, the quarter, and I open it up for questions.
Operator: This is the conference operator. At this time, I would like to open the call for questions. [Operator Instructions] Our first question -- are you ready?
Mark Sander: Hey, Ross.
Operator: It’s Ross from Polygon. You may begin.
Unidentified Analyst: Just two for me. [Technical difficulty] ongoing care and maintenance cost that we should think about for 2018. And then, the second one is, at Brunswick, what sort of CapEx and developments I guess should we modeled out for the rest of this year and then into 2018?
Mark Sander: So, the run rate after the redundancy costs for the reduction in force to about a 100 people is about $1.5 million a quarter. We have the option of reducing that, if we want to increase the cost of reopening and basically let a couple of permits laps and repermit when we want to reopen. I don’t think we will do that. So, you can figure on about $1.5 million a quarter, at the current state of readiness, which is really for very fast reopening, once we get the permits. As far as Brunswick goes, the Brunswick project for capital development is including contractor mob and demo, it is a $14 million capital development program that would start this year and I believe it goes into late next year and is substantially complete by the end of next year, but maybe a little bit in 2019, not much. I can provide more clarity on that, if you would like with a bit of research pack into the AFE but...
Sanjay Swarup: That would be selective disclosure…
Mark Sander: No, I can put this into our next update in the investor presentation that we put out probably next week, shortly, yes.
Operator: [Operator Instructions] And our next question is from -- we didn’t have a question in the queue. [Operator Instructions] Ladies and gentlemen, we have no more questions. I would now like to turn the call over to Dr. Sander for closing statements.
Mark Sander: So, I guess, first, I want to ask if you’re sure you’ve got no questions. I would have -- I expected some others. All right, no more questions is no more questions. We are making the -- compiling the next turn of the investor presentation, which should come out shortly and could answer some more questions that come up for you. As well, we are showing up at the Scotia conference in the London one-on-one investor conference in the next few weeks. So, if you want to get together there that would be a good idea. And otherwise, we will talk to you with the next quarterly results. I guess in other news flow before that what you can expect is an update on the Björkdal new 43-101 reserves and resources in December and there would be our Q4 production sales in early mid-January with our exploration update, our normal second half exploration update in the second half of January and the Costerfield reserves and resources update in February. That’s kind of the new store we expect and we will entertain any questions as those things come out, if we get those back to us through Greg. Thanks. All right. Have a good week. Thanks.
Operator: Ladies and gentlemen, this concludes today’s conference. You may now disconnect.